Operator: [Foreign Language] Good morning and welcome to the conference call organized by Vidrala to present its 2024 full year results. Vidrala will be represented in this meeting by Raúl Gómez, CEO and Iñigo Mendieta, Corporate Financial Director. The presentation will be held in English. [Operator Instructions] In the company website www.vidrala.com, you will find available a presentation that will be used as a supporting material to cover this call, as well as a link to access the webcast. Mr. Mendieta, you now have the floor.
Iñigo Mendieta: Good morning, everyone, and thank you for joining today's call. As announced earlier, Vidrala has released its 2024 full year results, along with the presentation that we'll serve as a reference throughout the call. Following the structure of the presentation, we will start with a brief review of today's key figures, before opening the floor for Q&A, where we'll go deeper into business performance. So let's begin with the key financials. Over the full year 2024, we delivered revenue of almost €1.6 billion, EBITDA of €454 million and a net income equivalent to an EPS of €8.85. Please remember that this net income is not fully representative as it is affected by the impact of €50 million capital gain from the sale of our Italian operations. At the end of the period, net debt stood at €248 million, representing a leverage ratio of 0.6 times our annual EBITDA. Turning to revenue performance. Total sales for the period reached €1588.3 million, reflecting a 0.2% increase at constant currency and comparable scope. Volume growth of nearly 8% was largely offset by a negative price/mix effect. FX and scope, reflecting the combined effect of incorporation -- of incorporating the first 11 months of Vidroporto in 2023. And excluding the last 12 months of Italy, contributed an additional 1.7% to revenue growth. Looking at EBITDA. We applied the same breakdown to analyze the year-on-year variation. For the full year 2024, EBITDA came at €454 million, reflecting an organic increase of 10.5%. Including all effects, reported EBITDA growth reached 15.6% during the year. These results translated into a solid EBITDA margin of 28.6% expanding by 330 basis points compared to last year. Now, this slide breaks down sales and EBITDA by business unit, based on the updated perimeter, meaning Vidroporto is fully included in 2023 figures, while Vidrala Italy is fully excluded in both years. Let me briefly remind that Italy contributed to reported sales and EBITDA for the first two months of 2024, Q4 being reported as discontinued operations, adding to net profit from March to June 2024. So we observed somewhat different trends across regions. Absolute figures for Iberia are modestly down year-on-year, mainly due to price reductions, but volumes remain resilient, slightly up for the year, along with a strong margin performance. The UK continued to perform well, supported by the integration of the Filling business and some bowling lanes in the Glass business. And Brazil reflects the impact of the large furnace launch last year, which has enabled us to increase sales volume and improved cost absorption. Now, let's take a closer look at free cash flow generation, which is a key priority for us and a critical indicator of our financial health and operational success. These charts illustrates full year cash compassion, starting with an EBITDA margin of 28.6%. We allocated 10.6% of sales to investments and another 5% to working capital, financial expenses and taxes. As a result, free cash flow generation stood at 13% of sales which is equivalent to €206 million, highlighting our strong ability to translate operational performance into solid cash flow generation. And finally, net debt was significantly reduced to €248.3 million with an average ratio of 0.6 times our annual EBITDA. So this shows that we are able to deleverage 0.3 times our only EBITDA in a natural way excluding the transaction of Vidrala, Italy this year. Again these figures reflect the impact of our recent M&A transactions and the acquired debt along with proceeds from the sale of our Italian operations dividends and share buybacks. This solid financial position gives us a solid foundation and parallel agility and flexibility and the financial capacity to identify opportunities to further enhance our competitiveness and drive sustained growth. And now before we move to the Q&A. I hand over to Raúl who will summarize the key takeaways and share additional insights.
Raúl Gómez: Thank you, Iñigo, and thank you all for attending this call today. We really appreciate your time particularly for those of you that are connected today far from Europe at different time slots on the app. Good morning. Well, 2024, what a year -- what a year for us. We have strategically refocused the business on three core regions. We divested from Italy where we were weak. We integrated a large bottling facility in Bristol that has made our business in the UK and Ireland and served a stronger and even more unique, a business that reached in 2024 new higher profitability levels. Also a big thing for us we have entered Brazil very important strategy movement for us. We are very happy to welcome Vidroporto's team with its fantastic leadership. And I am proud to see that we are learning and improving together quite a lot. At the same time during 2024, we kept on investing in improving our operations in Spain and Portugal where we are today stronger than before. I mean more cost competitive. And in the end with the work of all our people and the support of our customers, we have navigated through quite a challenging macroeconomic environment with, let me say, a reasonable level of efficiency. This is evident in our numbers. And there are an overall quite weaker than expected demand context. We have exceeded our initial expectations for EBITDA and cash generation. So please consider that our 2024 results are a proof of who we have become and what we realize today. Our business strategically focused with competitive and different positions in each of our three regions of activity and a company in a strong financial position. Hope you join me today recognizing that this is a result of our strategic actions, the work of our people and the support of our customers and our shareholders. They are all part of this. Looking ahead to 2025, despite macro -- underlying macro uncertainties and a still weak global consumption environment, we consider that the competitive optimization of our production capacity in Iberia, the value of our unique positioning in the UK and our continuous progress in Brazil means that our cash flow levels are safe despite we are to invest more and our EBITDA is expected to stay at similar or higher levels in 2025 in comparison with the previous year. In any case more important for us far beyond this year. You please consider that we are living in exciting times, a real transformation in the consumer world and a material progress in Vidrala in our business. We are moving forward with our view on the long-term strictly fit to our industrial principles. That means that we aim to invest more than before with our customer in mind. And we will do so with financial discipline, firmly committed to our long-term steady guidelines customer, cost and capital. That's all from my side. Thank you very much again for your time and your interest, and you please remind keep on eating and drinking in glass please. Thank you.
Iñigo Mendieta: Thank you. This completes our initial remarks. So let's turn to the Q&A session.
Operator: [Foreign Language] Ladies and gentlemen, the Q&A session starts now. Questions by telephone will be answered first. [Operator Instructions] Our first question comes from Natasha Brilliant from UBS. Now your line is open.
Natasha Brilliant: Thank you very much for taking my questions. So maybe if we could just get an update in terms of what you're seeing in demand in the last few months. And you obviously talked about soft environment, but are there any signs of improvement in terms of volumes? And any color that you could give us by the different end markets would be very helpful. And similarly, if we could have an update on the most recent pricing discussions that you had with your customers at the end of last year. And then my other question is just if you can update us on your capacity utilization at the moment, if there's been any change in that since we last spoke and how that might impact your percentage margins as we go through 2025? Thank you.
Raúl Gómez: Well, thank you, Natasha. Thank you for the question. Well, regarding the demand context, the first thing to consider is that the comparable basis today with one year ago is let's say more normal. We are not yet seeing any sign of relevant recovery, but we are not seeing any further drops, okay? So that means that for our comfort and for your comfort in 2025, the comparable basis will be much more normal. We are seeing -- it's true that we are seeing some minor symptoms of potential recovery in the consumer space. But globally we are still at softer than initially expected demand context.
Iñigo Mendieta: Just to clarify, Natasha on that, all the comments we are doing today is an effort let's say to give you some visibility and exercise of transparency. But please remind you all that official guidance will be issued with the occasion of the AGM, okay? That's as Rob was saying, the start of the year is more or less being as expected. But please remember also that Q1 will be quite challenging in terms of comparison basis especially in terms of top line not that much in terms of EBITDA.
Rául Gómez: Regarding pricing, as you may remember, a relevant portion about half of our sales are comprised by long-term supply agreements with strategic customers, where prices are defined by formulas. It's more simple than in the past. This means that most of our prices are and will be progressively adapted to reflect real or underlying external cost factors. And we do consider that our starting point today is that we broadly see that our price levels in each of our regions of activity are broadly competitive. And that makes me think that the reason behind the weak demand context that we are suffering is not our glass price levels, but much more structural or costed on macro factors. So we have little reason to compete let's say more aggressively. Anyway, we will make our best to certify our customers' attractive volumes and compete with the financial discipline and trying to protect our margins. And finally, your third question utilization rates. We are today at utilization rates of slightly above 90%. And you probably remember that we ended 2024 utilization rates of slightly below 90%. So that's probably consistent -- the improvement in our utilization rate is probably consistent with the message that we are sharing with you regarding the demand context, okay? We are seeing some symptoms of modest improvement.
Natasha Brilliant: Thank you. That's very clear. Can I just ask a follow-up? If there's any -- the improvements coming from beer or wine or spirits any color by end market?
Raúl Gómez: Probably this improvement is some recovery after big drops last year. So it's more related to the comparable basis. But on a more mid-term view, considering the last two, three years aggregated, we are seeing a better performance by regions in Brazil, in the U.K. because of our unique positioning and third in mainland Europe. And in terms of segments, beer is performing better than high alcoholic products, okay? And wine is probably flat.
Natasha Brilliant: That’s very helpful. Thank you so much.
Operator: [Operator Instructions] The next question comes from Fraser Donlon from Berenberg. Now your line is open.
Fraser Donlon: Good morning, Raúl and Iñigo. Thanks for the presentation. It's Fraser here from Berenberg. I have three or four questions. So the first was just about the U.K. business. I'd be interested in your thoughts on kind of EPR, DRS and how the next few years could play out for U.K. glass and how you look at, let's say, Encric within that? The second question on M&A. I guess you probably have some competitors who could be forced to sell some assets in the next year. So, I guess do you see a more kind of buoyant environment on the M&A side, would you consider buying assets in Europe? Or are you strictly focused on South America, Central America? And then the third question just on investments. I know you said you kind of plan to invest -- continue to invest more. Could you maybe go through a little bit like the CapEx wallet you see for 2025 and almost how you allocate that in terms of maintenance logistics filling CO2-related investments for example? I'll leave at that for now. Thank you very much.
Raúl Gómez: Okay. Thank you very much, Fraser. And regarding the U.K. the specific case of EPR and packaging recovering out, okay, this is a new example of the hyper regulation that is affecting the packaging industry as a whole and the glass package industry, particularly in the U.K. and also in Europe is something that we need to manage. It’s an issue that we need to navigate through and, okay, makes the U.K. and Europe different than South America and explains a little our recent strategic actions in. Anyway, so far what we can see is that our customers are reacting well to this new regulation in the U.K., particularly maybe for us because our business is more unique. You please consider our 360 business model with our filling or bottling services. The last integration we made last year in the U.K. after the acquisition of the large bottling facility in Bristol, and at the end, this issues that we are trying to manage shouldn't change our profitability levels in the U.K. in the next two years, okay, that are safe, particularly safe after having reached new record levels in 2024, okay? We are dealing with that. We are managing this but our business is still under control. Second point, you asked about the M&A or let me say, the potential inorganic strategic actions. In that sense, our story and our plans remain the same. We are and we have always been continuously looking for opportunities to grow the business. We will first try to explore where we can expand our capacity, probably you will understand very well that it's most likely to expand -- to find opportunities to expand capacity in Brazil and in mainland Europe and the UK. Second, we also want to seek for cooperations with strategic customers something that could be a big thing for us. Third, we aim to strategically verticalize the business to gain control over our operations and better serve our markets. And we have made quite a few small transactions in the last months in spaces as recycling, bottling or energy supply that in some cases explain our cash profile in the last months. And third, yes, Fraser, we are exploring a few number of potential acquisitions. All of them in regions that we consider currently core and strategic. And in any case in the mid-term we will remain financially prudent and stay at low levels of debt, preserving our solid financial position to stay well capitalized, probably today is a competitive advantage and to be ready for whatever happens in the long future. There is nothing more that we can add so far. As in any cases we are in very preliminary stages of analysis and in some cases affected by the usual confidentiality agreement. But we can promise that you won't be surprised. This is the same that you know speaking and just under a somewhat more dynamic management actions. And we also promised that we will inform you in due time and transparently in case anything material evolves. This is not yet the case.
A – Iñigo Mendieta: Okay. And then Fraser on your last question on CapEx. Just to remind CapEx figure for 2024 was €168.8 million equivalent to 10.6% of sales. So next year probably this figure will be slightly higher than that. You can assume something in the range of 11% of sales. There is more than pure replacement in that CapEx as Raúl just mentioned regarding sustainability, regarding verticalization or some opportunities to grow volumes in -- or to capture volumes in specific regions, basically Brazil. Anyway, despite the CapEx figure in 2025 being expected to be higher than that of 2024, as Raúl also mentioned in the initial remarks, we consider that our free cash flow generation, the absolute figure, around €200 million is safe for 2025.
Fraser Donlon: Perfect. Thanks for both.
Operator: Our last question comes from Iñigo Egusquiza from Kepler Chevron. Now your line is open.
Iñigo Egusquiza: Raúl and Iñigo, hello, how are you? Iñigo from Kepler Chevron. Just I would say three questions from my side. The first one, if you can provide us in your pricing and volumes by regions in 2024? This is the first question. The second question – sorry to come back on the CapEx because I didn't get your answer on the CapEx for 2025. And then a final question on the M&A that you were mentioning Raúl, I don't know if you can – obviously it's not an easy question but I don't know if the M&A that we can expect would be similar in terms of size to Enerco Vidroporto or smaller than that similar to Santos Barosa. I don't know if you can give us some indication on that. Thank you, Gracias
A – Iñigo Mendieta: Okay, Iñigo, thank you for your questions. So the first one on the breakdown between volumes and prices in 2024 and by regions, okay? In Iberia, volumes were slightly up plus 1% with prices down minus 9% for the full year. In the UK & Ireland volumes were up almost 8% with prices down minus 7%. And in Brazil volumes were significantly up due to the effect of the new furnace plus 38% in the full year with prices slightly down minus 3%, okay? Overall, in the group as we mentioned in the call, we saw volumes growing in the range of 8%, which was fully offset by price variations. Second of all in terms of CapEx, what I was saying is that we are expecting higher CapEx in 2025 in comparison to 2024. You can expect something a figure around 11% of sales. But the two highlights in the sense is that first of all there is more than pure replacement in that CapEx figure. And second of all free cash flow generation of around EUR 200 million for 2025 is safe.
Raúl Gómez : And the last question -- thank you, regarding M&A. Well, as we said, with respect to any specific questions, regarding any specific case or anything that we can say today with you is almost nothing as we are in very -- in all the cases in very preliminary stages. But in any case following your question and that will be quite illustrative. In all of the cases that we can foresee so far, our debt levels are to be preserved below 1x debt-to-EBITDA. So, that being answering your question that is very clear. Thank you for that. The transactions that we could be exploring, as we can see so far are smaller transactions that the one that we have made in the last 5, 10 years and the ones that we mentioned okay. Hope that gives you some level of comfort of clarity.
Iñigo Egusquiza: Okay. Thank you, Raúl and Iñigo.
Raúl Gómez : Thank you.
Operator: [Operator Instructions] There are no further questions by the telephone. I return the floor to Mr. Gómez and Mr. Mendieta.
Iñigo Mendieta : Okay. So before finalizing there is still one question on the webcast regarding shift to that sales some comp producers have reported particularly strong European volumes. Have you been hearing much from your customers recently that could shed light on attitudes on cans versus glass in 2025?
Raúl Gómez : Well, thank you. This is a very interesting question, okay, cans versus glass in the beverage packaging space. It's very evident that over the last -- and we need to be very aware of this over the last three, four years cans, metal cans, aluminum cans particularly have taken some market share against glass in every place in the world -- through the packaging world. And it's now time for us to be aware of that to try to recover some of the gap, okay? And that will depend basically on our -- how competitive glass is for our customers and for the consumer. The good thing is that we can see very recently that the gap is under a process of reduction. We are reducing the gap the price gap between aluminum can and glass bottle. And that makes us to be a little bit more optimistic looking at the future. The things that we are seeing in the world regarding tariffs and geopolitical tensions is something that should give us and you some level of comfort about the capacity of the glass container industry to recover some of the gap against aluminum cans okay? And we are doing this and you can see that a growing portion of our sales volumes are dependent on global customers that help us learn a lot about that okay? Please consider that we do consider this as a priority steady priority in the long.
Iñigo Mendieta : Okay. There is an additional one on the webcast on global demand and tariffs. It says, if would you be able to guide us to what proportion of your volumes relate to export particularly to the U.S. and China? Firstly, how might you expect your exporting customers to be affected in the event of U.S. tariffs? And to what extent could a weak Chinese consumer hold back your volume growth in the medium term? What do we think?
Raúl Gómez: Well, there is nothing more that we can add on this, okay? We are trying to analyze the businesses that are quite changing. And I have mentioned one potential positive factor of these businesses in comparing the cost of aluminum the global cost of aluminum with the cost of manufacturing glass. And regarding negative impacts, okay, what we can intensify the message now is that ,we don't export any of our volumes into the US or Asia -- American or Asian markets, but some of our customers exports into these markets and the total percentage of our sales indirectly exposed to this is, I would say, less than 3%, okay? Nothing relevant for us in the short term, but I have a dream [ph] that what is happening could be something relevant for the glass container industry as a whole. We'll take a look and we'll try to monitor this very carefully.
Iñigo Mendieta: Okay. And one final question on price negotiations in Iberia -- says how was the price negotiation in Iberia specifically, where the weight of formulas is lower in a soft consumer situation?
Raúl Gómez: This is a good question. Iberia or as we say, Southern Europe or Mainland Europe, is the region of our activity where demand is weaker. It's probably the region where competition should be or competitive dynamics should be tougher. But so far, we are maintaining, a disciplined approach with the aim and the priority of protecting our margins, okay? I have the feeling that the softer than expected demand context we are living, is not due to our competitive levels, to our pricing proposal, to our customers. It's more due to macro factors. So it's time for us to be prudent, keep and try to capture volumes and market share on a long-term view.
Iñigo Mendieta: Okay. So, we have now answered all the questions received via webcast. Please remember that we are always at your disposal, for any further questions. Before leaving, I am pleased to share that we will be soon strengthening our IR team, confident that this new incorporation will help us to improve and better meet the growing demands from you, analysts and investors. So, I'm excited for you to meet him soon. That's all. Thank you, once again, for your time and attention. And remember, to choose glass, a powerful way to care for your health and the planet.
Raúl Gómez: Thank you very much.